Mahendra Negi: This is the Fourth Quarter summary. Net sales up by 8%, this is more or less as expected. Then below that we have operating income of 8.8% and 13%. This is compared to the previous quarter, it is lower. And I'm sure that we get questions about this. And in the purple part you can see the answer, pre-GAAP numbers. So, more than JPY 100 billion in terms of our net sales up by 20% year-on-year. Pre-GAAP operating income was JPY 41.1 billion. Now the variable revenue, so this is related to the pre-GAAP revenue as well as a profit increase. So this is the biggest factor. Pre-GAAP performance was very strong. And this is why the variable remuneration changed. So the difference between pre-GAAP and non-pre-GAAP is quite big, but I'm sure that Kevin Simzer will explain this more in detail later on. So I would like to move on to the next part. There are some negative factors. Outside of Japan for consumer business we are outsourcing the online settlement payment. And the outsourcer Digital River in the United States had a problem with its financing funding and recovery of accounts receivable became impossible, which translated into JPY 1.7 billion. This is deducted from the pre-GAAP revenue. And without that pre-GAAP growth would have been 22%. Now that's the pre-GAAP number, but the GAAP net sales number will be affected in this fiscal year, so impact of the non-recurable AR. And also we have switched to another vendor from Digital River, which means that renewal extension will have to be applied automatically, which means that approximately a JPY 20 million or more negative impact will be seen in the net sales, so negative growth from the previous year, and this is one of the factors behind this. On this slide, you can see pre-GAAP profitability improvement 40%. It was at 27% one year ago. Now we are as high as 40%. Moving on to enterprise ARR. Enterprise subscription business growing at 15%. but unfortunately perpetual renewable is down to 1% growth -- sorry, single-digit growth. Cash flow no change. Headcounts in the quarter just closed, there was a minor decrease. So at the end of 2024 we had 6,869. We had 7,400 in 2023, which means that this is a big decrease. But as I mentioned before, we're not trying to improve profitability by reducing the headcount. We are trying to increase the efficiency of the organization and introduce new technology specifically AI in order to improve productivity of each employee. This is the biggest impact. And for this fiscal year, as Eva and Kevin will talk about, I'm sure, we may be able to increase the sales by JPY 20 million. In order to get the new sales, we want to increase the headcount and also invest into AI. So this is why we are increasing the headcount. This is the variable remuneration [ph] numbers JPY 5.2 billion to JPY 8.1 billion. This is the selling and marketing increase related to sales activities indicated in purple. The yellow part is salary and benefits. And as you can see inside the box, pre-GAAP base operating income growth basically led to an increase in bonus of JPY 3.1 billion. This is the big factor. And Q4 highlights in summary. The highest ever pre-GAAP organic growth was observed. Why are we saying pre-GAAP organic? Well, in FY 2017, we saw a similar growth. But at that time the Check Point business acquisition took place reported from HP and that revenue was basically added on top. This is why our net sales grew, but this time around there was no impact of acquisition. This was pure organic growth. And we have seen recovery in the growth in Americas and Europe. This year, the growth rate of the Americas and Europe was seen as problems, but we had the phasing of large deals and this was also questioned. But finally, in Q4, we posted those. For the full year, FY2024, we had the highest ever, net revenue and operating income. Moving on to dividends, for annual earnings, ¥259 per share, with a 70% payout ratio the dividend is ¥184 per share. Compared to the previous year it may look lower, but as you may remember, we had a special dividend payment in the previous year. So if we do an apple-to-apple comparison, ¥56 in 2023 versus ¥184 this fiscal year, which means that, the dividend has increased. For the full year forecast, this is the basic assumption. We will see growth in all the regions and EMEA will grow at 10%, Asia will grow at 10%. And the cost growth will be slower than the growth of net sales or the cost will slightly increase and we want to further improve the operating income for this fiscal year. And we don't expect any extraordinary items this year. ¥154 to the dollar this year versus ¥152 last year so the impact of FX should be minimal as well and this expansion or growth in net sales is expected. Now 2027, we have written to 2027, compared to that you may think that this number looks small. But enterprise revenue is still strong showing us 10% growth. Unfortunately Consumer business, because of a Digital River online payment, that had to be switched. And also overall in Japan, the PC business continued to struggle and there is a negative for the consumer business. So overall, our net sales growth will be 6% and 25% growth in operating income. And the FX impact is going to be minimal. So even without the FX impact the growth is expected to be 6%. Moving on to shareholder return, this is something that we announced last year. This is a basic policy. There are no retained earnings. All the net income will be allocated for shareholder return. This is a basic policy. Now based on that, ¥184 dividend, based on that ¥2.4 billion will be paid out in dividends, this time. And we still have ¥10 billion, left in net income. So we will be buying back our shares, by approximately this amount. The timing of this will be decided and communicated to you later on, but I just wanted to share with you the basic concept. And that's all from me. Thank you.
Eva Chen: [Foreign Language] Welcome to our first analyst meeting on, Trend Micro's financial report. I originally formulated this presentation with the title of "Proactive Cybersecurity in the AI Era". And I believe there's a great opportunity lying ahead of us. But during the New Year's and I think everybody Chinese New Year, I think everybody being deepwashed by DeepSeek so I changed my title to Cybersecurity Reimagined. I call it, the AI democratization and the path to proactive cybersecurity. But I do want to keep the title also saying that, even greater opportunity ahead of us. Let us think about Trend Micro's strategy has always been -- is our North Star. It's cybersecurity problem equal to infrastructure change, plus user behavior change and minus threat actors' activity. That is our formula. This formula has been impacted and changed by AI, because AI actually changed the whole infrastructure stack from the Hardware Part from the Next-Generation AI Data Center to The Software Development that your platform for development actually shifts to the AI LLM model. And then, also coupled with people need to rethink, how do you optimize the network? How is the traffic? Is that in the cloud in the local all this optimization of network and AI? So this AI change will impact and this innovation of DeepSeek I think will further democratized AI. Why do I say that? Because first, the new model of LLM has lower training and operational cost. And therefore, it can run on cheaper hardware. Its efficiency comes from redesign of the software architecture. And also it's open-source and highly accessible nature will mean developer can use this LLM as their own base and further develop on it. And therefore, there can be developed more domain-specific models to be deployed by smaller enterprise not just the very large enterprise can use AI but smaller or even small business. Even consumers' mobile devices can have a local model of this LLM in AI. So we think this saying that in the past one year, two years, everybody was focusing on AI innovation for the hardware improvement of the computing power but now this innovation will shift to software redesign based on the new AI model. So we think all of this will create a rise of the AI-enabled edge computing, means that the AI local model will run on a cheaper server and software. And so company enterprise are concerned about the privacy sovereignty will be able to host their own AI in their local data center and on a cheaper hardware. And also even the consumer they can download this AI onto their endpoint, their mobile devices and not concerned about their privacy being leaked out. So that's why I call it the AI democratization. And this would certainly reshape our cybersecurity because all of these agents sitting on all the local machines does need security. And how do you secure all these local agents? It will require a lot of knowledge about utilizing AI and also understanding the possible threats against all these AI models. Trend Micro has been invested in AI. We have our specialized cybersecurity LLM model, which we call Trend Cybertron and we have used it to enable Trend Companion on the Vision One console and also utilize it to predict the attack paths, which is the base for what I call proactive cybersecurity because we can utilize this. Therefore, cybersecurity can shift from a purely reactive mode to a proactive mode. That is what proactive cybersecurity means. Security and AI is combined together. One change, the other must change. And when one is democratized then cybersecurity needs to follow where AI goes and therefore, provide the best security for each of the layers from the user behavior, user how do they use their AI on their endpoint and the network, how do customer will utilize AI or the local edge computing to provide AI for themselves and the infrastructure, how would the cloud provider provide the different model of AI. All of this up to the data layer all will change what security control needs to be. And I am very excited and very proud that Trend Micro after so many years investing in AI, we already have all the security control stack already there and we can utilize our Trend Micro, Vision One platform to deploy and expand all of this security control for all our customers' AI infrastructure. So this leads to we believe the shift in paradigm because cybersecurity for so long has been always spending all the money on a reactive mode. We spent on response detection, protection but only 5% to 10% was spending on proactive because before, we didn't have the AI structure to do the prediction. And therefore, we cannot be proactive. But now with AI democratization, it's very possible, very feasible that we can enable all our customers using AI to take proactive mode cybersecurity. And that proactive cybersecurity will prevent a breach before it happens. What is the better mean time to detect or mean time to respond? Minus, it's minus mean time to detect and minus time of mean time to respond. Therefore, we can reduce the instance response cost and downtime shift from reactive overspending to smart predictive defense and addressing AI-driven threats, with AI-powered defense. That's what we call, proactive cybersecurity. In 2025, I would say, that’s proactive cybersecurity start right here, right now. Trend Micro already has our Vision One as the platform for all of this proactive cybersecurity by connecting all the points. When you want to do proactive cybersecurity, you need to connect the dots. You cannot have a siloed solution for security, and Trend Micro already has bring our expertise from endpoint cloud network, e-mail, identity, AI, data security all connected together and presented in one vision for security operation and that's our Vision One. So, I'm very excited about 2025 and I believe that AI democratization, lays an even bigger opportunity for proactive cybersecurity. That is what we will bring to our customers in 2025. Thank you.
Kevin Simzer: Hi, everyone. My name is Kevin Simzer and I'm the Chief Operating Officer for Trend Micro. I'm here to give you a quick update on our 2024 Q4 and fiscal year performance. If you've been following us at all in the media, you will see that we're sticking to our DNA, all things innovation. We're known as cybersecurity threat experts and we continue to talk about that, as well as our strategic alliance with NVIDIA and how we're leveraging their technology in order to consume that in our overall platform, while protecting AI infrastructure for our customers. We're so pleased, with our Q4 and our full-year performance. We started the year out and we said that we really wanted to do double-digit top-line growth, and we wanted to do that while improving the overall operating margin substantially and we did both of those. Fiscal year up, 10% year-over-year, operating margin now sits at 18% really nice performance overall. Where the top-line growth came from in particular was in the enterprise business. You can see the enterprise business up 12% year-over-year for the year, Q4 up 10% year-over-year. That's all on the back of Vision One and the strength of that platform being adopted by our installed base accounts. The consumer business, we said at the start of the year, it was not about top line growth. It was about improving the overall profitability. The way we're going to do that is, we were going to increase the ARPU. We are going to do fewer multiyear transactions and that would cause a softening of the top line, but we would stay focused in on that in order to improve the overall operating performance at the bottom line, while we innovated and I'll talk about that in a second. Our total recurring revenue across all three segments, now sits at US$1.7 billion. That's up plus 5% year-over-year. And you can see the three segments in this chart, large enterprise, small enterprise and consumer. Large enterprise at US$1.1 billion and plus 8%, that's the majority of our recurring revenue and that is from customers with over 500 seats or more. We also made improvements on the overall income statement. We did the top line double-digit growth that we set out to do. We reduced our COGS and improved our overall gross margin. We did the double-digit growth, while reducing our overall sales and marketing expense through a very set of methodical and calculating set of reductions that we made, in order to make sure we could still drive the top line. We did. We also did this while continuing to innovate quite heavily. You can see that we actually increased our overall research and development. In cybersecurity, it's so important that you continue to reinvest back in the platform, in order to stay, one step ahead of those threat actors and we drove the operating margin improvement. So, this was a very good step towards our road to 2027. In the enterprise business, the tagline we're using is Proactive Security Starts Here and that's so important. There's a ton of money being spent from companies like us, on defensive measures. Very little money right now is being spent on proactive, but that is the future. That's what we've implemented, inside our market-leading platform. So we have the ability to actually help customers predict, where threat actors may come and you can put compensating controls in place, so incredible innovation. This platform can run in a public cloud environment on a private cloud or in an on-premise environment, also very unique in the cybersecurity market space to support all three of those deployment models. It's not just us saying great things about our platform. Market-leading, worldwide industry analysts continue to ring praise on us around the performance of our platform. I am so happy to see all of our regional teams perform so well in Q4. These are pre-GAAP numbers in a common currency, so you get a true reflection of the performance of the business up 24% year-over-year in Q4 in the enterprise segment, so really strong performance overall, across all four regions. And I know, many of you ask, well, what about the US specifically and the Americas? In the US specifically, we're up 19% year-over-year in Q4, so strong performance across the board. Enterprise recurring revenue now at US$1.3 billion, that's up plus 7%. How we're tackling small enterprise is we have hundreds of thousands of small enterprise customers. The way we reach them is through MSP partners. Several years ago, we started selling them an advanced package that included XDR capabilities. What we realized was actually they actually had an appetite for even more than what we were offering. On October 14 of last year, we introduced Vision One to those MSP partners. We now have 85 of those MSP partners transacting using our Vision One platform, so we feel like that is the future for us, and that we will be in a much better spot for us to be able to help those customers out and compete in that MSP partner space. In large enterprise in 2024, we were very focused on our installed base, for a good reason. We have over 27,000 large enterprises. And the mission was to have conversations with them around security operations. This report just came out in January from a market-leading industry analyst firm called Enterprise Strategy Group. You can see the priorities that customers have for 2025, and it lines up with everything that we do, including the second row. We just announced that we will be entering the SIEM space. We'll be using our EDR XDR, our data lake technology, but we will be adding SIEM and SOAR capabilities to it and that will allow us to go after those legacy SIEM vendors, and expand our overall addressable market. Right now in our installed base account, our addressable market sits at US$7.3 billion. That's opportunity that exists in our installed base accounts. We also said at the investor conference in 2025, we will be opening up the aperture to actually go after new logos. The sales motion has been crystal clear go out to our enterprise accounts, have conversations with them about security operations center, and help them land with Vision One. We measure it in terms of attachment. We're up at very close to 40% attachment now added 1,200 customers did a nice job of increasing the ARR, and we do that because we know we can expand. The NRR is far higher once we get Vision One landed. We see it when they start adopting modules. Not only does the retention rate increase, but so too does the ARR. In fact, at the end of the year our module count actually our average number of modules on all of our Vision One customers sat at 4.8. So we're really doing a nice job of getting more and more of our platform turned on and enabled within those customers. We also found out something rather interesting, which is one of the modules is called a cyber risk exposure management module. And when a customer has that they actually have a higher likelihood of deploying even more modules, because that triggers more compensating controls. So we'll have a big priority in 2025 to land with this module in those customers. The large enterprise recurring revenue sits at US$1.1 billion and up 8% year-over-year. And we're really fixated on customers that are not on Vision One, and how we're getting them connected to the overall Vision One platform. So we're moving them and giving them a place to go by getting connected to Vision One and that allows us to pull them into the overall Vision One family. Four good customer examples in the US, we had a really nice win where we actually replaced a SIEM/LogRhythm was deployed in an existing customer of ours. They realized the power of our XDR and the data lake that we have and they decided to actually not renew their SIEM vendor and use us instead. So this is an example where we're moving into the SIEM space and we already have wins. In Europe, it's a manufacturer where we really had a fantastic win US$440,000 of subscription business and a nice expansion with platform adoption. In EMEA, a large chemical company, they actually needed our help. They were overwhelmed from a security standpoint. They had a lot of silos and they really wanted to pull things together. Our AI platform gave them that vehicle to be able to do that. Finally in Japan, a manufacturer, and this team really lacked the security expertise. They had troubles hiring and they really loved our unified platform, because it was a lot easier for them to use. They picked up our managed services as well that we offer our managed detection and response. So we are their second set of eyes and we can help support and supplant their team in the off-hours. So, four nice wins, all expansions across the globe. Now switching gears to consumer. Like I said, consumer, the plan was not to drive top line growth. We were very fixated on two things. We were driving improvements in the overall operating margin and we were doing that by increasing the ARPU doing less multiyear transactions. We were also spending time innovating. We took this AI technology and some things we had built around deep fake detection and we started pointing it at this new category of things called anti-scam. While we will continue to protect consumer endpoints themselves, in 2024 we also embarked on a mission to go beyond device protection. We started to explore using AI technology, some of our deep fake detection capabilities, how we could address this new market, this new area that consumers are feeling pain in and around scams. How could we build some anti-scam technology? Early indicators are the telemetry that we're getting from the deployments we've seen in Australia, we've had massive numbers of downloads in Japan. We're starting to see more and more consumption of this offering. So we see this as high-potential. What that means is that we will continue to try and find ways to drive some top-line growth in the consumer business. And we will be making some incremental investments in the consumer business in 2025, specifically around replacing our e-commerce platform the one that Mahendra referred to, but also around getting more adoption of this anti-scam technology that we've built. The road to 2027 remains the same. US$2.1 billion in ARR is our target and this 30% margin is what we're marching towards. It may not be in a straight line as we move towards that 30% margin. Like I said, we may find ourselves in situations where we do find that we will have to invest a little bit more in order to go after something that we think is right for our end customers, but this remains our North Star. This is what we are marching towards is this road to 2027. Thank you everyone. I look forward to your questions at the end.
Akihiko Omikawa: Thank you. So, I would like to start my presentation on Japan business update. This is how things were in 2024, so it's a recap. First, the domestic enterprise segment is what I would like to talk about. Highlights: as Kevin already talked about, more than 500 customers are here in this segment and the sales ratio there increased by more than 21%, 61% growth year-on-year in new sales because of the Vision One that has been mentioned already. Japan lagged behind, but it is growing. Security operations, is one area where our product has been spreading and taking root. Also a new sales model, as you can see here, includes our Vision One Credit and AWS Marketplace, private offers through which multiyear comprehensive contracts are concluded. Local governments as well as enterprise users are getting Trend Micro solutions over multiple years. This seems to be more in the US or in Europe. However, since last year users are starting to purchase our services in this fashion. Trend Micro Vision One, we're growing customers. Year-on-year growth is 34%. The Vision One users, there is a unit price increase or sales per unit is increasing. For the existing customers, I mentioned 500 seats or more, and there are many such users in Japan. Of those customers, the Vision One attachment rate has reached 20%. Actually for higher-end enterprises the ratio of attachment is higher. A low-light includes, well, it relates to the focus that we had on existing users. Their new user acquisition slowed down. For users with 500 to 1000 seats, yes, we were really focusing on those bigger customers, therefore, slower growth in sales to mid-tier customers. Now less than 500 seats. Well, let me talk about SMBs, highlight sales growth in SMB was 9% higher year-on-year and Security Services business drove the growth 16% year-on-year growth and customer base, we have been growing constantly. And in 2023, Q4 around that time frame, we started providing this XDR service through MSP partners, and that increased in 2024. So if you just compare Q4 against Q4, year-on-year growth is 618% plus. And so the major SMB partners are providing XDR managed services, and they are growing that business very steadily. In addition, Cloud Edge, which is hardware service that are also added on to this. Now low light, well, major key partners are growing. However, the growth in sales from mid-tier partners have been rather low. So that's the low light. And the full year business, this is how it was. So sales growth in enterprise year-on-year growth was 10%. Vision One is spreading. So the sales pattern has changed and customers -- more customers are purchasing this and Vision One has been growing throughout the year. And low light, as before, we focused on particular customers. And therefore, there were some slow growth in other parts of the existing customer base. And for small businesses, less than 500 seats, actually, there was growth steadily and MSP partner, very steady and XDR services sales has been increasing steadily as well. So these are the highlights. Low light has to do with the mid-tier partners because we were focusing on the key partners, and therefore, that's the low light. Now 2025 enterprise overall, what I can say is that we are growing Vision One on a global scale and security operation is catching up in Japan as well. And there is accumulation of references, and we would like to leverage such reference cases so that we can win new customers this year. So that's our strategy for 2025. And through Vision One, security operations center platform will be one so that we can enhance the unit price increase, and we can actually see the customers directly. Therefore, we will gain trust. And for MSPs or rather SMBs, as Kevin mentioned, Vision One is spreading, working through the MSPs partners. And so in addition to the existing customers, we are going to further promote the introduction of Vision 1 in 2025. So we will focus there. Now consumers next, beyond device security product is mentioned here, virus buster, but rather than virus, this is now a fraud buster or scam buster. We are growing that in Japan, 34% right now is the ratio of sales growth. And for Q4, PC sales has seen a slight recovery, just slight though. Now we are engaged in various security awareness activities, 47 prefectures, there are in Japan, but we have very close connections with over 30 prefectures, namely the police agencies and departments. And throughout 2024, it's not really that different from what I already talked about. So I will skip this. And then for consumer fiscal 2025 business strategy, we're going to really focus on the new non-wireless buster, but the scam buster and other anti-scam-related products and services. We're going to focus on that in developing our businesses. We will take proactive measures so that this new consumer business can be established and expanded. So we are taking measures towards that. Therefore, consumers business in 2025, of course, we will try to keep the existing customers, but we will go after new customers with the anti-scam products and services. The image and the brand of Trend Micro hopefully will take stronger root in the minds of these companies or rather the customers, and we're trying to spread the use of our products. And so this is the end of my presentation about Japan business update. Thank you very much.
Q - Unidentified Analyst: I have two questions. Page 16 operating income, JPY 60.3 billion, 27% increase. This is great. And last fiscal year and this fiscal year the revenue and profit no surprise, but JPY 60.3 billion. Total cost is JPY 228 billion and only 1.7% growth from the previous year. Considering inflation, this growth seems to be very small, even against the net sales growth. So, on page 11 you have the cost breakdown. Can you please explain according to this? Why is the total cost only going up by 2%? Which one is going up and which ones are going down? This is my question. That's my first question.
Unidentified Company Representative: Yes, I would like to respond to that question. As you have mentioned, inflation is of course there, but salaries, headcount-related expenses will continue to go up. This is our estimation. As you can see in the slide, cloud-related expenses and also outsourcing, these are the areas where we can pursue more efficiencies. So expenses that we are paying to the outside players by improving the productivity, we can reduce that. Also internally, we have admin expenses and other expenses that can be controlled better.
Unidentified Analyst: Cloud expenses, this should go up according to the sales of your service to the client no?
Unidentified Company Representative: Yes, but as Eva said, with new AI, we can make the use more efficient. And with technological advancements, we can increase the efficiency of use of cloud as well.
Unidentified Analyst: Right. Prepaid growth is very strong. From this year into the next fiscal year, pre-GAAP net sales related incentives will be also higher. Is that already reflected in your forecast?
Unidentified Company Representative: Yes. In the case of pre-GAAP, we have to wait until the very end. But yes, we have accounted for some of that already.
Unidentified Analyst: I see. Thank you. Second question, Omikawa-san, I think you have explained this in one of your slides XDR growth 680%. This is XDR through MSP partners. But in terms of the absolute sales amount, is this big enough for us to account for that with the calculation?
Akihiko Omikawa: Well, we only started two years ago. This is monthly charges or monthly numbers, so you may think that this number is surprising. This is more than JPY 100 million and we will be accumulating this every month, month after month.
Unidentified Analyst: I see. MSP partners, what kind of partners are you talking about?
Unidentified Company Representative: Otsuka, Rico, companies like that.
Unidentified Analyst: I see. I see. And SMBs are growing because of them?
Unidentified Company Representative: Yes. They're starting new managed services. Vision One for MSP is a new module and new modules are being added and we have high expectations for those as well.
Unidentified Analyst: I see. If you go through the distributors, then not only at the timing of installment, but also on a monthly basis, do they charge fees too?
Unidentified Company Representative: Yes. Sometimes, it's an annual payment. Sometimes it's a monthly payment. It depends on the partner on the reseller.
Unidentified Analyst: I see. Do you see big potential here?
Unidentified Company Representative: This has just started, so it's difficult for us to guess.
Unidentified Analyst: Economic security, supply chain risk, our government is focused on that and the regulations are now tightening in Japan as well lagging behind other countries. So, dependency is now higher and the environment is becoming more complex. Therefore, we believe that this potential is growing. So roughly speaking, are we talking about JPY 1 billion or JPY 10 billion in three years or five years down the line?
Unidentified Company Representative: SMB for the Q4 is more than JPY 3 billion already. And in the past as you may know Una-san [ph], it was not double digit, but we had growth near 5% and 10%. Now, Vision One for MSP is new. We have a new module that's been added, which means that we can target the volume zone. That's the plan. Of course, the enterprise business is bigger, but the government business is steadily growing as well. And the size is growing. But for the volume zone, we are talking about the annual revenue of a certain number. Maybe, it's not as big as 10%, but hopefully, growth close to that should be expected for SMB in Japan.
Unidentified Analyst: I see. That's very clear. That’s all for me. Thank you.
Eva Chen: Excuse me. May I take a little bit of time to just talk about Q4 and talk about our business model, the whole transformation? First of all, I think you all see our Q4 performance was very strong. Usually in a software company, you cannot see. It's like a bump-up pre-GAAP revenue, right? But this is the nature. Our platform transformation has started and starts to get into the flywheel. It already starts to turn. So the platform business model versus before our software distribution model will be very different no matter if it's the cost, the speed, the customer adoption and how they committed to this platform. The whole measurement is quite different than before our software distribution. For instance, you can see our pre-GAAP is very different than our post-GAAP. And also our ARR seems like, hey, if your pre-GAAP is so strong, how come your ARR did not grow so strong? It's because in all this pre-GAAP revenue, a lot of it more a more percentage comes from multiple-year committed contracts. So customers willing to commit and buy multiple years on our platform not because of discount not because we offer a discount for multiple years, but because they believe this is their strategic partner and they want to make sure they can get more mind share from Trend Micro and that's why we're seeing with a lot of customers we become their strategic partner. Even like government sector we become their framework provider their framework contract in there. I think this is a very important transformation for Trend Micro that we completed. Moving on to platform. Also I just came back from Europe attending the AI Action Summit in Paris and also in Munich for the MSC. Those are the very important cyber sectors -- cybersecurity sectors, especially, for government and all the country leaders are there. I would say everybody is investing in AI. This is a tremendous transformation for a whole country. This AI wave is going to change a lot of our software business. Software business before was platform on say an operating system and then later becoming cloud API, but now the software platform is AILM -- it's an AI model. So I think a lot of jump – I think a lots of application and usage will jump the dimension. Actually I was listening to Nato's CIO talking about their whole acceptance of new software. They say we realize that we cannot use compliance regulatory to restrict AI anymore. We need to get on to the speed of adoption with AI. So these are very different business models that we are getting into. So for Trend Micro, I think, we have been investing in AI on the technology part. But next step we will see and maybe investors will see our business model also starting to change. When you ask how come your costs only increased 2% even not cope up with the inflation but that's the new business model. That's the possibility, that could change. I don't know how it would be but all I know is it will become faster and faster in the whole AI adoption. And cybersecurity of course needs to get to that speed. Trend Micro I believe is the best position in this whole transformation because we're already seeing because of AI sovereignty. Even some countries are talking about IT sovereignty. And therefore they are pulling back from cloud rather than everything go cloud they are thinking about going hybrid or even back on-prem. And Trend Micro's investment in hybrid strategy plays the best to meet this type of transformation. So those are the things that I'd like to highlight about Q4. It's not just a one-quarter bump and we have a big quarter. It's actually the transformation already starting and this flywheel already starting to turn. Allow me to say also one thing about consumer business. I think, of course, consumer is a low light in our Q4, but taking this opportunity I think consumer also before we were PC-attached and antivirus focused, but now we are transforming to anti-scam, and it's mobile device focused and we were able to start in the B2B2C business model. So 2024, actually, we plan to invest more on consumer business transformation, because we believe this is also another big change that will be happening on the consumer computing device and computing behavior. So, that's why you will see in our 2025 planning, we do put in more investment and mainly, we want to rebuild our digital distribution platform and focus on the mobile device and anti-scam business. So, those are there. I think, I made the video one week ago but within one week there are already so much changes happening that I'd like to just give an update.
Unidentified Company Representative: Thank you very much and I appreciate a lot of information you just gave us. Yes, a sales 10%, 20% increase might happen in the future at least that's my hope. So, thank you.
Unidentified Company Representative: Thank you very much. Another person with a hand up. I will unmute you, just a moment please.
Hideaki Tanaka: Hello. Tanaka from Morgan Stanley. Can you hear me?
Unidentified Company Representative: Yes. We can.
Hideaki Tanaka: I have two questions. For pre-GAAP, multiyear or large-scale contracts or deals are included and so the mindset of the customers is supporting that. Now, is it likely that this will continue? Are there large-scale contracts included? And in the United States for example, I think this has been looked at. What, I mean, is the winning pattern recently, what are your winning patterns? If you can elaborate on those aspects as well I would appreciate it.
Kevin Simzer: Maybe I can start and perhaps Eva or Mahendra or Omikawa will jump in. Yes, the pre-GAAP numbers up 24% in the enterprise business were quite strong. And as Mahendra and Eva did talk about multi-year transactions is something that we're doing more and more of. I don't know if you remember or not, but at the investor conference one year ago, we had made a decision that we would modify our sales compensation plans. And the reason why we did that was we could foresee that customers really wanted to cement their relationship with us as they were adopting a platform versus a product. So we modified the compensation plan, which allowed our quota-carrying salespeople to actually be much more focused in on growing the overall size of the opportunity within that customer and that included multiyear transactions. So we did see it up five percentage points. So, we have been measuring how much we do in multiyear transactions for 15 years and it's been roughly the same 32%. We're up at 37% of our transactions now are multiyear, so we're up five percentage points. So we definitely saw an increase and we see that continuing. We did make a tweak to the compensation plan going into 2025, so potentially it's not quite as lucrative for salespeople. So we'll see some relaxing of that. But at the end of the day, we're doing what the customer wants to be done, and they want to secure their position in our platform. They want to make sure they've got the pricing established over that period. So they're the ones that really want to make the commitment. Overall, $1 million-plus deals are definitely up and we see that continuing. And in 2024, we did do the biggest deal in the history of the company. It was in the hundreds of millions and we booked $20 million in Q4 specifically for that one deal. So yes we're seeing larger and larger transactions and we see that continuing.
Eva Chen: And I'd like to add that before, usually, we don't want to take too many multiple year deals because it's always by discount - customers asking for a discount. But this time customer want this multiple year deal, because they want to get more mindset from Trend Micro, more interaction as a strategic partner with Trend Micro platform and AI-enabled software to do something that is impossible before, which is customizable but scalable. Before it packaged somewhere very scalable or you need to customize. You write a code for a specific customer. That is not profitable that way. But with AI and platform, that's what customers want. They like to have a more deep relationship with us, so that we can understand their need better and help them customize their cybersecurity. But that customization in Trend Micro because of utilizing the platform and the AI technology, we will not increase our R&D cost able to deliver that. That is why this type of bigger, larger long-term commitment deal will increase. And Trend Micro will be able to support this type of need by utilizing the AI and platform technology.
Hideaki Tanaka: Thank you very much. Just to confirm, the pre-GAAP numbers this time, local currency basis in Q4 is that 80%? Am I correct? Is it 18% -- 1-8?
Eva Chen: So on page 30 yes, as you see on the material. Well, maybe large enterprise, actually there were some segmentations. Maybe there might have been some difference in the percentages. But yes, what you see in the materials is correct, according to that definition. On page five pre-GAAP 20% is mentioned, overall. But this time this impact of these receivables not recovered so that's considered so 20%. But local currency base, 80%. Local currency base well in Mahendra's material the latter half has been admitted, but your question Mr. Tanaka has to do with this part that I am trying to look for. Sorry, I cannot show it right now, but on page 30 of Mahendra's presentation yes, plus 24% and minus 13%. So enterprise local currency base 24% is the number that you should look for.
Hideaki Tanaka: Okay. Thank you. And as for this fiscal year, pre-GAAP plan, what is your expected growth? What is your expectation?
Eva Chen: The management should answer that question. Pre-GAAP forecast is not shared. As I said pre-GAAP numbers it's difficult to estimate. Therefore on a quarterly basis we're going to disclose numbers.
Hideaki Tanaka: Okay. Now finally, global online commerce transaction players £1.769 billion was the number. So the losses incurred as a result of unrecoverable receivables has that been already addressed or handled or is it yet to happen?
Eva Chen: Well, Tanaka-san, yes, it was posted in the sales, but in the balance sheet the deferred revenue actually that was not included. So it does not include it. But the GAAP revenue this year will be determined accordingly. Yes, as Negi-san mentioned, accounting-wise in Q4 numbers in P/L, maybe the loss is about £100 billion that is included in sales and SG&A. Consumers for a year we will actually post it for one full year. Pre-GAAP, we have to really cancel what we have posted, and so the impact on sales was minimal and so un-recovered receivables £100 million. So that offsets the number. By canceling what was to appear in 2025 that's been offset. So it is actually included in this number that Mr. Negi has put in here. So accounting has been taken care of already in 2024. So this amount is the lost opportunity for profit, yes. And also the Online Payment entity, we have to actually choose one to replace this. There is this time gap. So about US$20 million worth of loss will be felt. And so that's the impact in Fiscal 2025.
Hideaki Tanaka: Okay. Thank you very much.
Unidentified Company Representative: Thank you. Ask the next person.
Hiroko Sato: This is Sato, Jefferies Securities. Can you hear me?
Unidentified Company Representative: Yes.
Hiroko Sato: Thank you. I have two quick questions. I missed the first part, Q4 operating income and costs. I thought the profit will be bigger than this. But in terms of cost, the salaries have gone up. So the pre-GAAP was good and that's why you have to pay a bigger bonus and that was posted in the first quarter. Is that the correct understanding? And also sales and marketing – sorry, I didn't catch what was said earlier but anyway, fees had to be paid in a bigger amount and that pushed up the costs. Are these two major factors behind the higher level of expenses? That's my first question.
Mahendra Negi: Yes, you're correct.
Hiroko Sato: Okay. Thank you. Second question, pre-GAAP was good at the end of fourth quarter. And this fiscal year guidance, sales, single-digit growth in Europe and America. That's the guidance. I understand that this is bottom-up and quarterly but I think this guidance may be too conservative. What would you say?
Mahendra Negi: Well, enterprise double-digit growth is expected, but consumer will not grow as much. Well, consumer impact is big only in Japan and there's hardly any consumer business in Europe and there's a small consumer business in the United States. Yes, we do have a consumer business in the United States, which will be impacted by this as well.
Hiroko Sato: I see. So you said that you'll be investing in the consumer business as well and the PC replacement cycle will be quite active in 2025, I think in Japan. I think this is a good year for the consumer business to grow again in Japan, but we have to see how it goes. But generally speaking, Japan consumption is not really growing via selling through GSMs. And I don't think they're very strong right now. But as you said, if the consumer mindset changes at one point and the PC sales start to grow then we can benefit from that growth. Well Otsuka said, that they would sell about 2 million this year, 2 million units. They're very aggressive. Can't you work with them?
Mahendra Negi: Well, enterprise versus consumer I think there is a difference.
Hiroko Sato: I see. There's a gap.
Mahendra Negi: Yes, there's a gap.
Hiroko Sato: Okay. Omikawa, let me ask you, PC replacement cycle for enterprise is that counted as enterprise rather than consumer?
Akihiko Omikawa: Yes, that's correct. Some people use it for purely for consumer purposes but it's counted as SMB sales.
Hiroko Sato: I see. So if it's sold through big camera, it's counted as consumer?
Akihiko Omikawa: Yes. If it's GSM like big camera then it's counted as consumer business.
Hiroko Sato: I see. In that case I didn't know that. Thank you very much for…
Akihiko Omikawa: Well AI PC in Japan we'll have to wait until fourth quarter for the shipment in Japan.
Hiroko Sato: I see. I look forward to that. That's all for me. Thank you.
Unidentified Company Representative: I will unmute the next person
Unidentified Analyst: Fuji [ph] speaking. I have a question. Well there were a lot of questions about pre-GAAP top line. I would like to ask you about the cost of this term. For Q4, the labor cost 3.1 billion and that is an increase from the previous year. Is that five time increase is my understanding. So you are increasing – is it correct to understand that you're not going to increase headcount, therefore labor costs will not increase? And the non-operating part in the past two years equity and loss I think there was that piece. But is that assumed this time this year? In your guidance I think there is this loss likely to happen in non-operating loss. What is that? And the tax ratio assumed is quite high. That's typically the case. But are there any tax-related concerns? Are you just being conservative or are you expecting the regular level of taxation or tax rate?
Unidentified Company Representative: Okay. I think there are different questions. So labor cost can you repeat your question about labor cost?
Unidentified Analyst : Okay. Labor cost, I have two questions on that. The Q4 that just ended, what's increased is the -- so JPY 3.1 billion that was an increase in the performance-oriented or based remuneration. Excluding that there has not been that much of an increase?
Unidentified Company Representative: Yes, that is included in that JPY 3.1 billion. Selling and marketing sales commission is included there. Therefore, variable compensation is just limited to that and that is JPY 3.1 billion plus what you see above.
Unidentified Analyst : Okay. For this year headcount is to increase. Is that the plan?
Unidentified Company Representative: Yes, that's our plan.
Unidentified Analyst : Then the labor cost will increase accordingly?
Unidentified Company Representative: Yes, but we have to think about productivity. Organization of -- flattening of the organization, it's not going to grow as much as the revenue growth.
Unidentified Analyst : And non-operating profit and loss, I think, there was this operating versus recurring numbers being different. Now what are included in this so the term that just ended?
Unidentified Company Representative: Okay. Let me address the second and the third question. The second question that you asked the non-operating part, yes, you're correct in your understanding. Our affiliates, the equity method losses is included. But as of now we're not assuming anything there. So we're assuming that there will be several hundred million [ph] in loss there. And the ratio of taxation you might think that it's assumed at a higher level. However, about 30% to 33% is assumed. We're assuming a reduction. In 2024, as you know, yes, we did pay for the corporate tax from the past years. And so ostensively that made it look higher, but that will no longer be the case. And therefore it will come to the normal level. Now what's different is the dividend from the subsidiaries will come to Japan and that tax ratio is higher. Therefore compared to four or five years ago on the surface it looks like the tax ratio is being higher. However that is because of the fact that we're bringing all the dividends from the subsidiaries. So again 2025 -- 2024 the tax ratio will come down is what we're assuming.
Unidentified Analyst : Okay. Thank you very much.
Unidentified Company Representative: Thank you. Any other questions?.
Unidentified Analyst : Yes, I'll unmute This is Anderson [ph] from JPMorgan Securities. I have two questions. First of all, you talked about your AI initiative and the AI proactive module actually already existed from before. But now what has changed because of DeepSeek? And pricing of the module maybe went down like in sales force, agent force business model. Is that what we should expect? That's my first question about AI.
Unidentified Company Representative: Kevin, do you want to take this one?
Eva Chen: Are you asking about customer implementing AI their costs will go down?
Unidentified Analyst : Your product...
Eva Chen: My product.
Unidentified Analyst: Yes.
Eva Chen: Okay. Using AI, it will make my product development costs, I should say, it's not the cost go down. It's the speed of implementation is much faster the coding part. Therefore, we will be able to provide customers with more a customized solution, without increasing the cost. Is that the question?
Unidentified Company Representative: Yes. Thank you. And…
Kevin Simzer: Maybe I’ll just add – can I just – what Eva’s – So Eva covered that side of it. The other side is, that we think about with DeepSeek and what it's -- Eva used the term, democratization. So what DeepSeek did is, it all of a sudden demonstrated to the world that AI is not just for large government and very large enterprises. Actually, it can be made available to all enterprises. It's also being made available to threat actors. So it's important for even more companies to be adopting AI. And one of the powerful capabilities of our platform is, that we can protect a customer's AI environment. If there's more customers that are deploying AI, that gives us more opportunities to protect them. Does that make sense?
Unidentified Analyst: Yes. Thank you. And I guess, additional to that, do you -- could I guess imagine that you would add a service like an AI agent, on your platform? Is that the correct way to take it in the longer term?
Eva Chen: Actually in our AI platform, we already have something we call Cybertron. It's our own specialized cybersecurity, LLM and the concept is very similar to DeepSeek's domain. It's more deductive reasoning matter and able to explain, why we come to this conclusion that type of train of thought design model. So yes, we already in our Vision One, there is Cybertron, which is our cybersecurity specialized insight.
Unidentified Analyst: Thank you very much. and second question….
Unidentified Company Representative: Sorry, for the purpose of recording, could you ask the question in Japanese?
Unidentified Analyst: Yes. My second question in the United States, I understand you have won multiple large deals in the United States. Are these brand-new deals or is this the installed base, signing up for a large-scale platform multiyear contract? Which one is it?
Kevin Simzer: Maybe I'll take that one. Matthew, perhaps I misspoke, but two things, with your question. Number one is, globally we are doing more and more multiyear transactions. That's a byproduct of our platform and the tailwind, the flywheel starting to spin faster. So we're doing more and more multiyear transactions in particular. That incredibly large transaction that I talked about, that was in Europe. But in the US, specifically to your question, yes, we are doing multiyear transactions as well. For the most part, it tends to be with our installed base accounts. So, we’ve been very up until the end of 2024, we've been very fixated on our installed base. We did add 1,200 new logos, but we've been very fixated on our installed base accounts. You're going to see us in 2025, open the door more to some very targeted programs going after some new logos by leveraging our ecosystem partners, like our strategic alliance folks like NVIDIA, like AWS, like Google GCP. We will be leveraging those big partners, in order to help us get some new logos. We will also be leveraging some very specialized value-added resellers globally. So, yes, that is our initiative in 2025.
Unidentified Analyst: Thank you very much.